Operator: Thank you for standing by. This is the conference operator. Welcome to B2Gold Corporation's Fourth Quarter and Full Year 2023 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity for analysts to ask questions. [Operator Instructions]. I would now like to turn the conference over to Clive Johnson, President and CEO of B2Gold. Please go ahead, sir.
Clive Johnson: Thank you, Operator. Hello, everyone. Thanks for joining us. We're here today, as the operator said, to discuss the fourth quarter 2023 financial results and also the full year of 2024. I want to start the call off by again extending the condolences to all those at B2Gold for the tragic loss of life in Mali February 15, there was an armed attack on a convoy of our buses and unfortunately four people were killed in the attack. So we'd like to extend our condolences to the families of those that passed and also our best wishes for the full recovery of the people that are in hospital. We are with the government working on an extensive investigation of what happened in the incident that happened about 300 km from the Fekola mine on the national highway, which is the way that many of the mines in the area and people in the area travel along the main highway. So we've had a trouble spot there in the past. We've taken steps with the government to improve security. We will continue to work with the government to improve the security for our employees who is traveling to and from the mine. The investigation will help us understand the motivation of the attack who the attackers were, and with that report, which will be done shortly, we'll take some additional steps. The priority of B2Gold has always been for our 6,700 employees has always been the safety of our people, including transportation. We do have a top safety record on site, one of the better record track records in our industry. We're proud of that. We consider that safety is the number one priority. In terms of talking about the 2024, I'm going to hand off here shortly to Mike Cinnamond, our Chief Financial Officer, who's going to run through, give you a quick high-level overview, because the news release is quite extensive. We'll talk about the record gold production in 2024, talk about the eight year in a row that the company has met or beaten its expectations our guidance, which is, I think, a tremendous track record that we intend to keep going into 2024 and beyond. 2024, as Michael talked about in 2023 results, just to touch on 2024, we've stabled for quite a while now that this is a bit of a transitional year with the construction of the Goose plant, but also with some various capital expenditures that we have in Fekola, for example, we were building another new tailings bond. We're building another extension to the solar plant. We have a bit lower production for this year because we didn't get the permits from the government, the export license from the government of Mali in time to produce the additional 80,000 to 100,000 ounces. We were hoping to produce 2024 as we start trucking ore from the Fekola complex in the North Anaconda area, down to the Fekola mill. So we've been working with the government. We're hoping to get clarity from the government quite soon and move on to starting to truck that ore later this year. But we haven't put anything on 2024. We're starting that up in 2025, which could add 80,000 to 100,000 ounces to the annual gold production, significant amount of that, of course, to the benefit of the government of Mali. So we've had some positive meetings and we think we're closing in on understanding the implications of the 2023 mining gold, which code has grandfathered under the 2012 code. It's a very important, but the regional projects are subject to the new code because those are exploration licenses right now that need transfer. So going into 2024, we are in an extremely strong financial position. And we were going at the end of the year, and subsequent to the year-end, we've completed a prepayment of gold revenue financing, which is an excellent way to further strengthen our financial position, given the large capital expenditures that we have this year from some of the things I talked about, but also obviously boost construction as well. So that financing was an excellent financing. It's around 3% cost of capital, and it is from any of our gold mines. And it represents about we paid back in 2025 and 2026, and it represents about 11% of our gold production during those years. And it was done at around 2020 price of gold. So I think a very effective financing. You've seen us do it before, back in the day when 2014, we pioneered this from the financing for the industry, which has subsequently been done by numerous companies. But it is an excellent way to maintain a very strong balance sheet. And when you have significant capital expenditures coming, it's a cheap form of financing and exposes very little of our gold in terms of a small percentage of production being locked in those years. So 2025, we were looking to bounce back to another very strong year. Because of having the capital spends finished. Some of these are doing Fekola, et cetera. Goose schedule -- on schedule, start production in the first quarter of 2025. And we should set record gold production again in 2025 with Goose coming on and then better production, more with trucking ore better grade at Fekola getting into 2025 and much less capital expenditures across the Board. So I think with that, I'll pass it over to Mike to give you an overview of 2023, again, another very strong year for the company. And after Mike does his thing, then Bill, who's up at Goose, is going to give you a Goose update snowstorm dependent. He's still in this connection. And then we're going to open up for questions. So with that over to you, Mike.
Mike Cinnamond: Okay. Thanks, Clive. So we're going to start just the quarterly results, revenue for the quarter $512 million. We averaged just under $2,000 an ounce, $1,993. So thank you gold price. It's a good quarter and a good year for the gold price. I think for the full year, we came in $1.9 billion at an average price of $1,946 an ounce, which, when you think about the fact that we budgeted at $1,700 an ounce, that's a good result. Production wise for the quarter, gold produced from our operating mines, 271,000 and then 289,000, if you include our share of Calibre and I think production played out like we thought for Q4, the big winner was Fekola 143,000 ounces versus 109,000. And that's really Fekola as expected; we had some changes in timing there between Q3 and Q4 just with some delays. At the end of Q3 and getting into Fekola's Phase 6, but we got in there in Q4, we got the grade we were expecting, kind of like we did the year before. And Fekola beat budget significantly by almost 35,000 ounces. And then if you look at Otjikoto for the quarter, I think for Otjikoto 81,000 ounces just a couple of thousand ounces higher than budget. But that's actually a quarterly record for Otjikoto. And it just reflects the fact that we got into the good grade. Both in the Otjikoto pit and the Wolfshag underground mine. Then looking at the full year pictures, again, kind of how we guided it, I think at Q3 total, including our share of Calibre 1,061 million ounces, which is in the upper half of our guidance range. And I would say again that that on a consolidated basis is a record annual production level for B2Gold. Talk a little bit now about what that all meant on the cost side, again, not spending too much time on this, because I think really these results ruled out what we saw through the year and what we guided in Q3 and what we expected for Q4. So in the quarter, the big winners on the cash cost side were Fekola and Masbate, Fekola with that additional production that came through and ability to sell it, $605 an ounce, quite a bit, $67 under budget, then Masbate $910 an ounce, which was $71 under budget. And overall, we came in for all of the operations; we came in $633 an ounces, which was $20 under budget. Continuing to benefit, I think, from lower fuel prices against budget that we saw. And then production beats -- every mine beat production slightly for the year. And when you look at the all-in sustaining cost side, it kind of mirrors what we're saying there. For all operations, including our share of Calibre $1,257 an ounce for the quarter, which was slightly above budget and it's really a function of two things. You've got the beat that we had on the cash cost side and then you got some CapEx that we were catching up on from prior quarters, particularly in Mali, where we had pretty significant CapEx year sustaining capital to get us ready to start moving into 2024 and beyond. So cost side, I'd say overall, when you look at total cost for the year, cash costs $654 an ounce. That's below our original guidance range for the full year, $670 to $730, so good result. Again, as we said, we thought we'd come out in Q4 at the end of Q3 and then all-in sustaining costs for the year, just $1,201 an ounce. And that's right at the low end of our consolidated guidance range of $1,195 to $1,255 per ounce. So really more of the same as we saw as we went through the year and very solid results from the operations. Comments on maybe a couple of the other operations where they are and couple of things to comment on before we get into other results, so at Fekola Regional, as Clive mentioned, we're still waiting to get licenses there. But I would say that we had 18,000 ounces in there as part of regional production and the current year's budget for 2023. And even though we weren't able to get in and access that, the performance of Fekola meant that overall for Fekola complex. We still met our guidance range for Fekola overall. And we have continued to work on regional through the year. We have -- we got most of the mining infrastructure, the roads, the warehouses, workshops, built through the course of 2023, and we're just finishing that in the first quarter of 2024. So we're really well-positioned, I think, in terms of any trucking scenarios there for regional. Just waiting now for receipt of a mining license. Gramalote, as you know, in the year we bought Anglo of 50% of the Gramalote Project, so we own that 100% now and we're working on an updated PEA for that that we expect to have by the second quarter of 2024. Thinking about smaller scale operation with potentially smaller mill and better recovery and cost profile, smaller CapEx upfront. Bill is going to give us a Goose Project update, so I won't dwell on that right now. But just to highlight Otjikoto again, Otjikoto is coming near the end of its open pit mine life. It's scheduled to ramp down in 2025. But we did put out a news release in January just highlighting that we did have very positive exploration drill results from the Antelope deposit that we're looking at now. And we think that with further drilling has the potential to be developed as an underground mining operation which could help us change the mix of the mill feed blend. As we move into the stockpile phase of Otjikoto, we hopefully will have more high grade from an underground deposit at Antelope if that comes through. Now, I'm just going to talk a little bit about some of the other results for the period. So on the earnings side, net income for shareholders for the quarter was negative $113 million as a result of impairment charge or $0.09 negative share, year-to-date, $10 million or $0.01 per share. Then adjusted net income once we removed the impact of any significant non-recurring non-cash items, $90 million for the Q, $0.07 a share or $346 million, $0.28 a share for the full year. In conjunction with that, and really reflecting how well the operations perform on the cash flow side, we had $714 million operating cash flow for the period, sorry, for the full year, including $205 million for Q4, and for full year cash flow from operations per share was $0.58, so again, very good performance by the site and getting that done. We found some good uses for it through the year. We -- if you recall some of the things we spent it on, we had the dividend, so we've got our $0.04 per share, USD per quarter dividend that turned in $186 million dividend payment for the full year. I remember, too, that as part of the Back River acquisition, there were certain financing obligations that we thought, because we believe in the future upside of that project that we wanted to buy out at inception. So that cost us just under $112 million earlier in the second quarter. And then on the investing side, a total for the full year of $845 million, which really reflects significant capital investment of Fekola as we continue to advance projects like the TSF, the Fekola underground, the Fekola solar Phase 2, and then, of course, the Goose Project as we came into that, and we've been working hard on that, and Bill will give us an update there. We did finish the year with $306 million cash in the bank, and that included drawing down on the line for $150 million in Q4 just in advance of some of the anticipated later Q4 expenses early Q1 expenses. As Clive mentioned, we did do a prepaid financing early in Q1. So with that, we used a portion of that $500 million prepaid financing to pay down the outstanding balance on the line just a little later in January, early Feb. So that where we sit today is we've got the full $700 million line available, and we -- I'm catching the bank from the results of the prepaid financing as we move through the first couple of quarters, development continuing construction at various sites. One thing I will highlight, most significant transactions impacted Q4, so we did have an impairment for the Fekola Complex of just over $200 million, maybe a couple of comments on that. As we've mentioned through the year, there was a new 2023 Mali mining code that was enacted later in 2023 in the country. However, it was put into law, but there's an accompanying draft implementation decree which is currently out for industry comment. We provided feedback along with the other big Mali mining houses. It's not enacted yet, and exactly how some elements of the new code will be applied remains outstanding, could be subject to change. But we are where we are at this point in time. With that mining code being out there, what it did prompt us to do was examine later in the fourth quarter what were our plans for the Fekola Regional licenses. As we discussed previously, we thought about whether there is a -- we can build a second mill, oxide only mill at Fekola Regional, or whether we should look at a trucking scenario. As I mentioned, we already have that road infrastructure built, so should we look at a trucking scenario to the Fekola mill? And I think given the uncertainties about the new code and what we saw was in there, it's not as attractive for things like the tax and royalty regime and some new funds that they've built in there. We did a comparative analysis and we decided that for now, certainly, that trucking aboard from Fekola Regional to Fekola mill is the optimal scenario. In that trucking scenario, we see it's optimal because it really eliminates any significant mill CapEx exposure if we wanted to build, a mill while at the same time providing close to the similar cash flows from just trucking it down there and less capital upfront. So in looking at that, having done that trade-off and that analysis, that also prompted us then to update our current high level Fekola Mine and Fekola Regional mine plan, how we see production profiles coming from those. I'd highlight again that these are point in time estimates are the best estimates we have right now. It doesn't take into account future changes in variables, finalization of the 2023 code, production changes, cost changes, or further exploration success. We're still lots of plans to drill there and further define the oxide and even more importantly, perhaps the sulfides below those oxides to see how they can benefit both Fekola Regional production and Fekola production per se. And by looking at those new mine plans, they triggered an impairment review process. And key to highlight here, I think is that because both mine plans assumed that we will process or from both Regional and Fekola at the Fekola mill, we had to look at them jointly and for accounting purposes, they're treated as one combined cash flow generating unit. So Fekola is the combination of the two. So we looked at that, looked at the plans, and the most significant impact in there is that the new regional licenses are all under the 2023 code, so they have to bear the regime that's under that current code as we know it, including the higher taxes and royalties. And overall, this resulted in a non-cash net impairment charge of just over $200 million for the combined Fekola Complex cash generating unit. And like all impairment assessments, we made our best estimates of a number of variables. You look at gold prices, appropriate discount rates for the country, and the 2023 code impact on them, and obviously for Regional, we looked at that, that was fully impacted by 2023 code. And for Fekola mine, we assumed that all stabilized factors under the 2012 code are still stabilized. So that's our scenario. I can speak for each company in Mali because everyone has a slightly different scenario and where they are in their project life and new projects. For us, the most significant issue here is that we have new projects that we know would be pulled in under the new code. So I think those were the main items I was going to highlight. And if anyone has any questions, I'd be happy to answer them.
Clive Johnson: Sorry, do you want to --
Mike Cinnamond: Yes, we'll go to Bill first, then we'll open it up for questions. So, Bill, do we have you on the line?
Bill Lytle: You do? How do you hear me?
Mike Cinnamond: Fine.
Bill Lytle: Yes. Okay, so this is reporting in from the North Pole. I'm actually at the Goose site right now in anticipation of the winter road opening up. And so I am happy to say that the sides are point. They can see the stacks off of each other's equipment. So we anticipate that pending good weather for the next 48 hours, that the road will open up, that will not be fully opened up, but certainly the first lighter load to come down the road. So what we're doing now is we're in the process, on the MLA side of loading trucks ready to go. And so we can anticipate certainly this weekend that we will be seeing on the road. Everyone remembers that's in a good space. We've got double the number of trucks that we've had since last year and double the capacity. So we think we're in really good -- all of the winter road equipment. Additionally here, the mill rights are in the mill, installing the mill, we've always -- remains three to four months. Most of the buildings are now completely putting in generators in the underground. The open pit is operating. The underground is looking good. The camp Phase 2 is getting ready to go. So that'll be some of the first pieces of equipment that come down the road. The Phase 2 camp, which will allow us to get to 500 beds. Just on costs, I don't have the latest numbers, but what I will tell you is that if you remember, we've pretty much de-risked the project because we've ordered all of the stuff, obviously, which is coming down the 2024 road. We're in the process of ordering –[Technical Difficulty] shipping stuff basically on budget, which I think January, and we anticipate not seeing any mature scope or to budget. I don't know. Clive, there's anything else you want me to talk about?
Clive Johnson: I guess maybe just highlighting. You just did. But the fact that we've spent a lot of the capital and ordered a lot of equipment for the next year-and-a-half, so we've actually de-risked the project. But does anyone know how much money we've spent on the capital, estimated capital cost for Goose and how much that we've spent?
Mike Cinnamond: Well, cash spent to the end of the year was approximately $715 million for the Goose CapEx in total, including Sabina's share that they'd spent and what we spent post-acquisition.
Clive Johnson: And what -- how do we have left to spend our recent budget?
Mike Cinnamond: Well, we've got -- we’ve given the budget estimate for CapEx for $1,050 for the main project, plus the funding of the development of the open pit and undergrounds, and also for some of the working capital funding that we think we need.
Clive Johnson: So Bill, I guess just to remind people about the schedule of the ice road starting here shortly, but how many weeks we have and how many weeks we think we have on that ice road and when do we think it'll wrap up or we'll have utilized it to the maximum.
Bill Lytle: So some of the numbers that we'd always talked about kind of a maximum of 3,000 containers, but we actually, that down [Technical Difficulty] 2,200 containers. That includes [Technical Difficulty] as I said, will be open and there will be open this weekend. And we have April or into the first week of May, assume that we're running 50 trucks or 48 trucks. What you're going to see is that we've got more than double the capacity to bring the load down the road. So ping is very good as far as bringing this.
Clive Johnson: You're bringing up a bit, Bill, but thanks for that. Just another couple of things to remind you of, we still have obviously as a company, one of our priorities and one of our great strengths is also exploration and our exploration success not only in finding more gold around our existing operations or mines or acquisitions we've made, but also making additional discoveries as a group, as a company over a long period of time. So we have an aggressive exploration button program. We have Victor King and Andy Brown with us here, if there's questions on exploration, we are pulling back on exploration in Maui. Mike mentioned we've far from realizing the ultimate value of the Fekola Complex. There's lots and lots of targets, lots of zones we've hit that are open. We are drilling frankly. We've cut back dramatically on the drilling there because we don't understand yet the full implications of the 2023 code and understanding whether it might be an option to build a second mode down the road, et cetera. But trucking looks like the option. We're pursuing that, as we said, and hopefully we'll be able to start that sometime later this year. But the expiration, why would you go on and draw off lots more additional ounces when it's not clear whether they're economic, i.e. the second mill potential? So -- but we will get back to that if we forget where we want to get to with the government. I'm understanding that the 2023 code as written is going to be very detrimental to the future of the gold mining industry in Mali, because it will make it -- from being a very attractive company for foreign investment over many decades, make it one of the lesser attractive companies. We have choices where we spend our money. Gramalote for example, if we get a good result in the study in the middle of the year. That could be a good project with owned 100% by beach of gold. But same expiration remains a priority to Goose expiration. I haven't seen Tom and Vic and Andy these guys as excited about an expression upside maybe since Cooper or some of the days at Fekola. But we have numerous targets, a big budget there. And we always knew the acquisition. We don't pay for ounces. That might be there in our acquisitions, but we think there's going to be a lot. We've already had one very good result. By drilling the deepest hole ever drilled on Umwelt and that was a really good result. I think it was 20 meters of 18 grams underneath the 100 meters below the deepest hole before wide open. And there's many other zones as well. So I think with that we'll open it up to questions. Okay. Well, while we wait --
Operator: Yes, I can still hear you.
Clive Johnson: Okay. While we wait --
Operator: Pardon me. Pardon me, sir. My line dropped. So, thank you. We will now begin the analyst question-and-answer session. [Operator Instructions]. The first question comes from Wayne Lam of RBC. Please go ahead.
Wayne Lam: Okay. Thanks, guys. Just a question on the sequencing of mining activity at Back River. I'm just wondering if you might be able to provide a bit more detail on the increased spend there and the rationale in terms of the re-sequencing of upfront mining activity.
Clive Johnson: Bill?
Bill Lytle: Yes. I think Peter's on the line with me breaking up.
Clive Johnson: Yes. Peter's on the line. Peter?
Peter Montano: Yes. Thank you for that question. Basically, there are a couple of things that we've done here. One is really focusing on the echo pit. That's going to be the first sailings facility. So that's something that we want to move forward and focus on. But you're really of more interest is the underground mining at Umwelt. What we've done is looked at the development, the size of the resource, and realized that by going with long hole stoping, not only on a mining method basis, but also on a material flow, we can upsize the mining equipment. So going from 30 ton trucks to 50 ton trucks, and then also increasing the size of the scoops. So much of the capital that you're seeing there is a larger mining fleet, physically larger equipment to start with, and that's going to allow us to increase the mining rates from underground and also reduce the mining costs.
Wayne Lam: Okay. Great. Thanks. And then just curious, on the upcoming life of mine update there. You guys have previously kind of soft guided higher costs with the update closer to $1,000 an ounce ASIC. Just wondering, given how things have evolved on the CapEx side over the past few months, have you seen any additional pressures where that could actually end up higher in the update relative to that prior target?
Clive Johnson: Bill? I think we might have lost, Bill.
Peter Montano: Bill, do you want me to take this one?
Clive Johnson: Yes, sure.
Peter Montano: Yes. So we don't have the detailed cost analysis yet for the OpEx. There are some fuel costs that have gone up and some maintenance costs, so there'll probably be some normal inflationary increases there. But like I said, we're offsetting these with a higher production rate. So in the end, we don't have the final numbers yet, but I think it would be fair to assume some inflationary impact.
Wayne Lam: Okay. Great. Thank you. And then maybe just last one for me. On the security front in Mali, it seems as though the historic issues have been much further east of the operations at Fekola. I'm just wondering if you've kind of seen some of that activity start to shift further west. And then with the most recent incident, how are you guys' kind of reconsidering your operations in terms of transport of personnel to site?
Clive Johnson: Yes. We're always transparent and happy to be so, but I think it's really important to understand, we're in an investigation with the government to understand the motivation of the attack, understand who the attackers were, and really review the process. We did add additional safety measures by having a vehicle out in front and a couple of vehicles in the back of the three bus convoy. So it's just too early to talk about that. It would be inappropriate for us to try and predict what we're going to do. We need to get with the government as we are, understand more about the attack, and then talk about what measures, and there are a few alternatives, but what measures we can take to further improve security and encourage the government to continue to improve security on their national highway. This is the national highway from Mali, so the safety of their citizens, it's just -- I know it's a priority for the government as well. So we have 3,000 Malian employees at the mine and their safety is our top priority and I think it's I believe, I know it's a priority for the government and they've taken steps along with us to improve safety. So that's really all we can say on that topic for now when we go to report more when we have finished our investigation.
Wayne Lam: Okay. Understood. Appreciate the call.
Bill Lytle: Can I just add to that? I mean, certainly, everything that is ongoing right now Mali is that not only with the government, but also with the employees, because they're ultimately the ones that really have to do the travel and they've been a very willing partner and that -- this situation will have to be handled [indiscernible] but it is a kind of a tripartite question.
Clive Johnson: Yes, I want to just Bill, I need your input here on the question was asked before about Goose costs because I don't want to make sure we get that right. Can you talk a little bit about what where we are in terms of the last estimates we put out? Are we discussed the estimates about all-in sustaining costs of Goose? I think we built in quite a lot of the inflationary factors. Would that be fair to say?
Bill Lytle: Absolutely. Clive, -- the marketing out there saying 1,100 [Technical Difficulty] I guess, I'm pretty broke up now. I'm getting tech. Can you hear?
Clive Johnson: Yes, you broke up there. But I think you were talking about the fact that our recently discussed in our marketing that $1,100 on all-in sustaining cost we think was reflective of projecting some additional inflationary costs in that number. Okay, let's move on to additional questions.
Operator: Certainly, the next question comes from Ovais Habib of Scotiabank. Please go ahead.
Ovais Habib: Hi, Clive, and B2 team, first of all, please also pass on my condolences to the families of the deceased as well. On another note, congrats on a strong year, especially cash costs coming in below your guidance for 2023. Since we own Goose, I was going to start off with just asking in terms of how the underground at Goose is progressing as well as are you doing any sort of drilling into the initial scopes that's expected to be mined out. So maybe we can start off there.
Clive Johnson: Peter, can you comment on the mining and then Vic talk about drilling we're doing -- what we're doing. Peter, underground mining?
Peter Montano: Yes. I'm sorry. Cut off at the beginning of that. Was this for Fekola or for Goose?
Ovais Habib: For Goose.
Peter Montano: For Goose. Yes. So we have two options. The standing option, basically following what Sabina had was to target the lower Umwelt section. And then we're also working on the crown pillar section. That's our upside case and really what we're driving for. We are on schedule there. Development has been continuing. We've had a couple interruptions and normal operational interruptions throughout the winter, but absolutely on schedule and no concerns about having those stockpiles ready for no startup.
Clive Johnson: Thanks Peter. 
Victor King: We're not drilling from underground yet, but the crown pillar area and the area that's going to be subject to mining, underground mining is well covered with existing resource drilling and obviously the focus of our drilling moving forward and we expect to start surface drilling towards the end of March, beginning of April. There is extending the conversion of inferred to indicated on Umwelt and at Llama. And obviously over 56% of our drilling will be focused on extensions of our existing resources and tackling numerous other targets that we've identified at Goose.
Ovais Habib: Perfect. Thanks for the color for that. And just moving on to Fekola and Fekola Regional. Clive, Mike, you provided a good overview in terms of how great relationships are with the Malian government and how much they want to move these projects forward. I mean question here is, are you still in discussions with the Malian government or have the Malian government gone back internally to figure out how to proceed with this new mining code?
Clive Johnson: Yes, we had six or seven weeks ago now, it's been a busy time, but we were down there in discussions with the government representatives and made clear our concerns about the 2023 code. As I know other [indiscernible] gold miners here have done as well. The ball was in the government's court now. We did get come up with a better understanding of certain issues and made some progress in our discussions and it was left, the government was going to go and come back with some ideas about some of the questions that we had asked. So I understand the government, I guess there's some material discussions going on between perhaps the Ministries of Mines and Finance, et cetera, and we're waiting to hear back from them about the ultimate nature of the 2023 code and the implementation of the code. So it's still a bit unknown where we hope that our arguments. Our discussions with the government about the real impact of certain aspects of the 2023 code and the negative impact on potential future investment, which is the reason why we unfortunately had to tell them under the 2023 code, the second mill was off the table. And that seemed to, frankly, they wanted to know more about why that was trucking the war. Looks like there's some good economics there, because we've got good grade material starting off an oxide material to truck good grade material with no blasting, no crushing, and the roads are already built. We're ready to go as soon as we get the implementation permit. So we think that we will find a way forward on that part of it by still waiting for ultimate resolution and of some things we've discussed with the government and the ultimate proposed implementation of the 2023 code.
Ovais Habib: Okay. Thanks for the color there, Clive. And yes, that's it from the end. Thanks for taking my questions.
Clive Johnson: Thanks, Ovais.
Operator: The next questions come from Anita Soni of CIBC World Markets. Please go ahead.
Anita Soni: Hi, Clive and team, thanks for taking my questions, and I apologize if you addressed it in your beginning comments. I've been hopping from different calls. So I just really want to understand I know you took a write-down at Fekola, and it says it's based on your impression of the mining code, and that mining code is subject to change. And I didn't find it in the release last night. But could you provide any color on what you do know about the proposed mining code at this stage?
Clive Johnson: I really don't think we're going to go into detail certainly on that at the moment. It's just in the state of flux right now. We're waiting to go the balls of the government's court. We've made our case. I understand other producers have made their case about the new code, so I think it's -- I just wouldn't want to speculate right now. I think we had good conversations. I think the government better understands our issues, why we wouldn't build a second mill if the 2023 code remains as was initially proposed. But I think I don't really not feel comfortable getting into detail. We're not going to negotiate on conference calls, so respectfully; we'll come back to you on that as soon as we have clarification.
Anita Soni: Okay. No, thanks. I get it. Thank you for that. And then with respect to they are very encouraging on building the trucking option, it seems like. So was that part of like is the trucking option separate in terms of what kind of write-down that you took? Is the write-down really just related to the mill option? Is that the case?
Clive Johnson: Mike?
Mike Cinnamond: Yes. Maybe I kind of give -- I'm not sure. When you came on, I gave an overview of how we had to look at it, but we had to look at the trucking option because it goes through Fekola mill. It meant that when we looked at the results and the future cash flows that we used in an impairment model for Fekola, we did it as what we call the Fekola Complex cash generating unit. So it includes both Regional and the Fekola mine put together because it's coming through the Fekola mill. So we had to look at the combined cash flows. And then the biggest significant impact being that Regional was under the full 2023 code. That's a new operation.
Clive Johnson: Yes. I think what we can tell you, Soni, you clearly from our trip down there, the government reiterated their appreciation of B2Gold, their respect for B2Gold as being what they call one of the top foreign investors in the country in terms of the way we've approached the project, the way we've dealt with the government and dealt with our employees, et cetera. So we seem to have a good variable. We do have a very good relationship there. But I can tell you the government made it very clear how keen they are on getting the trucking of the ore happening. They really want that to happen. So they've got some steps to take before they can give us an exploitation permit. And that guide includes finalizing the code. But they definitely -- they need revenue for sure. They understand that we're ready to go. They did agree that we could build the infrastructure even without an exploitation license, and we could build the infrastructure, which concludes the roads. We're ready to go now because we built all the infrastructure necessary. So we're on the same page with the government. We want to start hauling ore. They want us to welcome to as well. We need some more detail of the code and we need that exploitation permit, hopefully soon.
Anita Soni: Okay. And then my final question pertains to Goose and the $937 million that you ascribed to the transaction. So you've got $740 million in mineral interest that you outlined in there. And there was also the royalty obligation, did you not cancel that royalty obligation that like not -- should we be thinking about that being removed or is it still there? And then there's another royalty that you guys are collecting. And what is your intention with that second royalty?
Clive Johnson: The first have, still we do have -- there's a royalty there with Wheaton. Mike, you want to touch on the Wheaton part?
Mike Cinnamond: Yes, I think there's maybe two things. We acquired the Hackett River Royalty that's an asset from our perspective. And we all did that as part of the purchase price. And then the other part was we inherited Wheaton's or the Sabina's gold stream obligation with Wheaton. And if you recall, when we did the acquisition, in addition to unwinding a couple of other things, we bought back the max that we could of that stream obligations, we bought back 130.
Clive Johnson: And in our production world, it's a small stream in our production world. And we're comfortable to have a relationship with Wheaton. In terms of other royalties, we're not in the royalties business. And if we have an opportunity to realize, to sell the royalties, reasonable levels we were open to doing that for sure.
Mike Cinnamond: Yes. And Anita, if you want a bit more detail on the stream, it is in the financial notes. If you look at note 18, we kind of laid out how the gold stream works and what we initially acquired and what we bought back. So if you need any more detail, note 18 pretty much gives you that information.
Anita Soni: Okay. All right. Thank you very much. That's it for my questions.
Clive Johnson: Great. Thanks.
Mike Cinnamond: Excellent.
Operator: The next question comes from Don DeMarco of National Bank Financial. Please go ahead.
Don DeMarco: Thank you, operator, and good morning, Clive and team. I'll start off first question at Goose; we know that the winter ice road is expected to finish up tomorrow. Just interested in your comments on construction, was it completed without incident? No concerns on temperature. Is there anything you would do differently next year?
Clive Johnson: Let's try see how it goes, Peter, back up for backup. Go ahead, Bill.
Bill Lytle: Can you hear me?
Clive Johnson: Sort of. But you're very broken up. Peter, I know you were just there. Could you just talk about what we're learning from this road construction and what, if anything, we would do differently next year? It seems like it's been a very good success. What we've done with 160 kilometers -- 158 so far, but road that we built.
Peter Montano: That's right, Clive. So we had -- we made a couple of changes this year. We staged some equipment at midway points. We had some forward camps, went forward from both ends and also had more equipment. more water trucks is one of the biggest changes that we made and also optimized some of the routes over a few of the lakes. Those work really well. And basically the initial schedule was built on the road being open March 1 fairly conservatively. Looks like, well, we are going to beat that. So we'll have it open in a day or two. And so first of all, I want to say emphasize that the changes that we made from last year have been very successful. As far as further changes, this year with El Niño, we had a little bit of a challenge getting started with the warmer temperatures to start. That's not really anything that we can control. Other than that, it's been a really nice construction season. So obviously, we'll go back, we'll compare notes during the warmer -- during the summer and make any changes that we come up with. But all in all, we're very happy with how this is going.
Clive Johnson: Yes. Just maybe a little color there at the end of the day, often people build a nice road starting from the ocean, in this case Bathurst Inlet. The ocean freezes last. So by moving the equipment last year to the middle and being able to start construction that way, we got well ahead of the schedule. What we have to have a better schedule to do that. So and also, some of the people involved here were involved with Kupol back in the duty days, where we built 470 km of ice roads to get everything from the Northern port of Quebec and Russia down to the Kupol site. So we have a lot of expertise in this. And, of course, then a lot was learned from last year what the ice road successes and the challenges that were faced by Sabina at the time. So I think the guy -- well, the guys have done an excellent job, as we hope to see.
Don DeMarco: Okay. Thanks for that. And then just final question, a few weeks ago, you released an assays on the Antelope target at Otjikoto. I think you could add maybe 50,000 ounces a year beyond 2026. What do you need to see in the scoping study that's pending Q1 2025 to confirm? And is there any other sort of high priority targets on the site that you're interested in that could add additional extensions?
Clive Johnson: Well, the study will give us an economic view to what we've tapped into so far. And I'll let Vic talk about the potential here. And so we haven't got more assays back yet, but we're very encouraged by what we're seeing in the drilling. Vic?
Victor King: Yes. So the -- it was also -- the initial resource that we'll put out will be on the Springbok Zone, which is one of several zones within the Antelope deposit. The Springbok Zone is about 3 kilometers south of the Otjikoto pit. It lines up the lineament that lines up Springbok, and the Otjikoto pit is run straight towards it. And we do have several hits between Springbok and the Otjikoto pit that we'll obviously follow-up on and are going to be following-up on this year. So that potential is wide open 3 kilometers stride. Obviously, that needs to be drilled out. So there's huge potential. There could be quite a few more Antelopes out there.
Don DeMarco: Okay. Great to hear. Thanks so much, Clive, and good luck with Q1.
Clive Johnson: Thanks, Don.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Clive Johnson for any closing remarks.
Clive Johnson: Yes. Thanks, operator. Well, thanks you all for your questions and your attention today. Obviously, I guess maybe the elephant in the room or the rhino on the room is the fact that the performance of the gold equities, including ours, when we have very strong and looks like a pretty solid gold price, those are the challenges we face. I think we've presented our case here about 2024 and as a transitional year leading into getting back to some excellent years of very strong years in cash flow and an increase in production as we bring Goose on and do some of the other things we were doing in 2024. So at the end of the day, I've been doing this for a long time. I've never seen and the others agree the disconnect between the gold price and the gold equity. So somewhere on the way here someone's going to find some gold equities attractive and we'll continue to tell our story. We'll be at the BMO Conference with a tremendous amount of interest in having meetings at PDAC, et cetera. So we'll be out there talking to people about how B2Gold is going to continue to be a very successful gold producer, very strong financially and ESG and continue to grow gold production as we move forward into 2025. So thank you all for your contribution and your questions and your time. Thanks, operator.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.